Ignacio Artola: Hello, and good morning, everyone. Welcome to Fagron's Full Year 2025 Results Webcast. I'm joined today by our CEO, Rafael Padilla; and our CFO, Karin de Jong. We will open the floor for questions at the end of the session. And with that, I will hand over to Rafael.
Rafael Padilla: Thanks, Ignacio, and good morning all. We are very pleased to report another outstanding set of results with full year revenues reaching EUR 952 million. This translates into a 9.1% organic revenue growth at constant exchange rates, driven by all regions and segments. Profitability increased 10.9% to EUR 193 million, which represents a margin of 20.3%, 30 basis points higher than in 2024. Main contributors were our operational excellence initiatives and a positive sales mix. As you already know, during the year, we also accelerated our M&A efforts and announced 12 transactions across our regions and segments, always maintaining a disciplined approach. Additionally, we have proposed a dividend of EUR 0.40 per share, reflecting a 14.3% increase compared to last year. Looking ahead, in 2026, assuming no major changes in current market conditions, we expect mid- to high single-digit organic sales growth at CER and a slight improvement in profitability year-on-year. Going on to the regions. In EMEA, we had a solid performance. Brands and Essentials benefited from underlying demand, improved availability and our diversified footprint, while compounding services was supported by demand in both sterile and non-sterile compounding as well as new customer wins. In LATAM, we benefited from strong execution in Brazil. Innovation and targeted commercial actions supported growth. We have also received clearance from the Competition Authority, CADE for the acquisition of Vepakum. Finally, in North America Pacific, we continue to see strong underlying demand. Brands and Essentials improved on the back of operational improvements and availability, while Compounding Services continued to benefit from demand trends in both health and wellness and hospital outsourcing. Also, very happy to share that our expansion projects in Wichita and Las Vegas are progressing as planned. Turning to M&A. Our strategy remains consistent. We acquired businesses we know well, often partners where we can strengthen local positions, enter new markets or expand product capabilities. During 2025 and year-to-date, we announced 12 acquisitions across all regions and segments as well as completing 2 further deals we had announced previously in '24. As you would have noted, most of the deals we announced in '25 have already been completed with Injeplast, Amber and Vepakum pending completion. We all remain disciplined and have a clear integration playbook to capitalize synergies in an 18 to 24 month period, being the key levers, procurement, portfolio breadth, operational and commercial synergies. And with that, Karin, for the financial review.
Karin de Jong: Thank you, Rafa. Good morning, everyone. And let me walk you through our full year 2025 results and share more details about our 2026 outlook. In 2025, revenue increased 9.2% on a reported basis to EUR 952.2 million. In organic terms at constant exchange rates, the group grew 9.1%. Gross margin increased by 30 basis points to 62.6%, supported by sales mix and procurement and manufacturing savings. Operating expenses increased to support volume growth. At group level, our profitability expanded 30 basis points year-on-year to 20.3%, demonstrating our improved operational capabilities and synergies from acquisitions. Moving on to the next slide. The bridge shows our revenue development for the full year. EMEA delivered 4.2% organic growth at CER, supported by broad-based demand and contributions across segments. Latin America delivered 14.1% organic growth at CER, driven mainly by strong performance in Brazil. North America Pacific delivered 10.8% organic growth at CER, supported by compounding services and continued progress in Essentials. M&A contributed to reported growth, while FX was a headwind. On the right side in the table, you can see the nonrecurring items. They were limited at EUR 0.3 million, mainly acquisition-related costs, partly offset by an earn-out release. Depreciation and amortization increased, mainly reflecting purchase price allocations from acquisitions. And the financial result was a cost of EUR 28.6 million higher than last year. This was mainly driven by an increase in currency differences of EUR 1 million due to volatility of the U.S. dollar throughout the year. The remaining is spread of the different categories such as interest on leasing and other financial costs. The effective tax rate was stable at 22.2% versus 22.3% last year. And as a result, net profit increased to EUR 91.5 million and earnings per share increased to EUR 1.25, a 13.6% increase on the prior year. Moving to EMEA. So revenue increased to EUR 355.1 million with 4.2% organic growth at CER, supported by underlying demand and the contribution from acquisitions. REBITDA increased to EUR 77.9 million and the margin improved to 21.9%. The margin improvement reflects operational excellent benefits and sales mix. And as highlighted by Rafa, we also strengthened the region through acquisitions. Turning to LATAM. Revenue increased to EUR 183 million with 14.1% organic growth at CER, partly offset by FX. Performance was supported by strong underlying demand and new product launches, particularly in brands. Brands revenues this year represent 38.1% of LATAM's total revenue, an increase of 360 basis points. REBITDA increased to EUR 33.6 million with a margin slightly higher at 18.3%. The margin in the second half of 2025 was 19.2%, reflecting the seasonality effect in this region. We also made progress on M&A execution, firstly, with the completion of Purifarma, and we also received CADE clearance for Vepakum and expect that to complete soon. Injeplast is still to be completed. Moving to North America Pacific. Revenue increased to EUR 414.1 million with 10.8% organic growth at CER. Brands and Essential performance remained strong and was mainly supported by improvements in product availability and supply chain. Compounding Services remains strong despite the absence of GLP-1 shortages during the second half of the year. The higher operating expense is mainly related to the need to accommodate the growing volumes coming from high market demand, while REBITDA margin expanded by 20 basis points to 19.7% as we continue to improve our operational excellence activities. We also expanded the business through the acquisitions of CareFirst and UCP and also including entry into Australia through Bella Corp. Looking at our cash flow now. A high level of cash conversion remains as one of the main strength of our business model. Operating working capital increased by 10 basis points to 12.1% as a percentage of annualized revenue. Operating cash flow increased by 41.3% to EUR 155.3 million. Normalized CapEx adjusted for one-offs ended at 3.1% of revenue, in line with our guidance. And lastly, free cash flow conversion reached 65.3%, reflecting continued discipline on CapEx and working capital. Our net debt evolution for the year shows a modest increase to EUR 283.3 million, reflecting acquisition and investments during the year. Despite this, leverage improved with net debt to EBITDA at 1.2x, and we remain well below our internal threshold of 2.8x. This keeps sufficient headroom to pursue opportunities while maintaining a prudent balance sheet. Finally, our outlook. For 2026, assuming no significant changes in market conditions, we expect a mid- to high single-digit organic growth at CER. We also expect a slight year-on-year increase in profitability with the second half expected to be stronger than the first half. CapEx is expected to remain at around 3.5% of revenue, excluding one-off projects, and our midterm guidance remains unchanged. And with that, I will hand back to Rafa for the conclusion.
Rafael Padilla: Thanks, Karin. 2025 shows again the resilience of our business model consisting of predictable growth, strong cash generation and continued progress on quality and operational excellence. We also accelerated M&A in a disciplined way and are now heavily focused on integration and value creation. This performance builds on a long-term track record with EPS growing at around 9% CAGR since 2017. We remain confident in the underlying drivers of our end markets and in our ability to deliver the midterm targets. With that, let us open the line for questions.
Operator: [Operator Instructions] The first question comes from Michael Heider from Berenberg Bank.
Michael Heider: Congrats on the strong execution. I have 4 questions, please. First of all, your growth accelerated in the fourth quarter in North America, so in the U.S. market, despite a stronger headwind from the GLP-1 revenues. Can you give us a little bit more light on what were the main drivers here, please?
Rafael Padilla: Yes, sure. Michael, thanks for confirming the results. We're also very happy. Regarding the U.S. growth, you see that has been across all the segments. Of course, we're starting with Anazao where we have the headwind. The core business also grew. So that shows the resilience of the business, of course, and the trend we have spoken also in your last conference of the prevention and lifestyle products. B&E was also -- we also saw good results ahead of our own expectations as well. We have been improving our operations and supply chain. As you also know, we also discussed this one. And then regarding FSS or the hospital outsourcing, we also explained during our Q3 trading update call that at that time, we're adding the EUR 25 million extra capacity that door-to-door, right? Therefore, in Q3, we had the lesser growth at FSS, hospital outsourcing. And with the visibility we have, we would see a strong Q4. Thanks a lot for the question, Michael.
Michael Heider: And then secondly, on the capacity expansions, can you elaborate what -- where the focus is in 2026? And how much CapEx can we expect on that?
Rafael Padilla: Yes, sure. That's a very important question for this year and also for 2027 because here, we have announced -- last year, we announced the expansion across the street. That's the new capacity that we're getting will be online during 2027. What we explained in Q3 was an extra capacity added wall to wall, so upgrading the current facility to support growth. And for 2026, as we also have explained many times, there is this new opportunity for us as the B2A where a 503B can compound for a 503A, that would be the same as we have here in the Netherlands with the [indiscernible], where a compounding center can compound for other compounders. And of course, as we can understand, the sterile products are the most important because of the difficulty made and all the quality requirements needed and investments. Of course, therefore, we see a good opportunity for us, of course, at the B facility in Vegas, but also at the B facility in Wichita because now we started bringing the portfolios together, having R&D cost, quality control cost, streamlining also the operational part on our [ 503s ].
Karin de Jong: Yes. And maybe to add on that on the financials for the expansion project. So we had 3 projects, the Las Vegas expansion, the Wichita expansion and the Netherlands. In total, roughly EUR 73 million expansion CapEx. In 2025, the amount spent was limited to a couple of million. And then for 2026, we expect to spend approximately 75% of that amount and the rest in 2027. The timing, however, is depending on ordering and billing. So it could deviate a bit. However, it does not indicate any delay in timing. So we remain on track to complete the investment in 2027, which was in line with the original plan.
Michael Heider: All right. Then on the -- on your tax rate, it was stable in '25 versus '24. Now looking at your acquisitions, do you think there will be an impact going forward? So maybe with more exposure to the Brazilian market that we have to expect a slightly higher tax rate going forward?
Karin de Jong: Yes. So we were around 22% this year and last year. We are funding part of the Brazilian acquisitions in the U.S. to mitigate a bit this risk. So we expect a slight step up, but not a major one going forward.
Michael Heider: Okay. And then last one, just generally, I mean, you had a fantastic run on acquisitions with 12 acquisitions announced. Do you see any limits to that on your capacity to integrate so many acquisitions?
Karin de Jong: Yes. Indeed, we did a number of deals in 2025. They were all spread across the different continents. So we have a global coordinator. So we have an M&A lead, and we have the regional teams that are responsible for the integration, and they are supported by the global back office and roles such as finance, tax, treasury, IT. The plan -- so the integration plan is already prepared during the acquisition process and discussed with the area leaders and executive leadership team to accelerate the integration as of day 1. So important levers, as Rafa mentioned, for the synergies are the procurement and the product breadth, and we have an experienced team to execute on this. So we are very confident that we are well prepared to integrate the acquisitions.
Operator: The next question comes from Stijn Demeester.
Stijn Demeester: Ignacio congrats on the results from my end. I have 3. In your outlook, you guide for a slight profitability improvement. I think we are all banking on somewhat lower margins because of the dilution of Purifarma. Does it mean that you see cost synergies in Brazil more positive versus earlier? Or has it to do with an offset from higher-margin acquisitions such as Vepakum and maybe a bit of light here. Then the second question, given the strong underlying growth in the U.S. Compounding segment, will there be a point in the next quarters where you will be pushing against the limits of your capacity in Wichita before the new capacity provides additional headroom in 2027? And then, related to the previous question, it was indeed a very busy year for your M&A team. Could you imagine that at one point, there is a change in your capital allocation policy, whereby you would, for example, for a buyback over M&A considering your sufficient free cash flow and your underlying valuation at this point? These are my questions.
Karin de Jong: Yes. Thank you, Stijn. Maybe to start with the guidance on profitability. So yes, in profitability, we indeed saw a nice step-up in 2025 with 30 basis points, which was driven by operational excellence, the operational benefits and innovation. While acquisitions are expected to have a modest dilutive impact in 2026, as synergies are realized, we anticipate a slight improvement in profitability versus 2025. We also expect a stronger second half compared to the first half, reflecting the phasing out of the GLP-1 headwinds, as you all know, and the integration of newly acquired businesses. And maybe to break it down per region, LATAM. LATAM will have a small dilutive impact due to the acquisition of Purifarma. This will be partly offset by Fagron. So from H2 onwards, we expect synergies to start contributing to margin improvement at Purifarma. If we look at North America, North America will be slightly impacted by the UCP acquisition, though the overall effect on the margin development is expected to be limited, and North America will continue to benefit from operational leverage and operational excellence initiatives. And therefore, we expect a margin improvement in 2026. And EMEA, I said, delivered a very strong performance in 2025, and we anticipate to be broadly in line with that or slightly improve compared to 2025 in 2026. So that's basically on your first question.
Rafael Padilla: Sure. On the second one, as well. You are totally right. And this is also what we explained during the Capital Markets Day last year that Wichita is coming to its max capacity. Therefore, we are at least EUR 25 million extra capacity for '26 and the first semester of '27. And then during 2027, we will see the new capacity going online. As we said, we are totally on track for timing and also on budget. So that's good to remark. And of course, we have the Boston facility. And this one is giving us the possibility to capture the underlying trend that we see in the hospital outsourcing. And that, as you know very well, is because of the high-quality standards that are being asked in the industry and also the B2A opportunity that we see now, that's when I repeat myself of the first question, when a 503B can compound for [ 503A ] mainly on sterile products.
Karin de Jong: Last question on the capital allocation. So our capital allocation is focused on growth. organic growth and inorganic growth. And indeed, we had a very good year on M&A in 2025. We have a solid pipeline to continue that M&A strategy. We see opportunities in the different regions, in the different markets, and we want to be able to act on those. So for now, our capital allocation strategy will not change, and we are focused on that growth. We did have a small dividend and a small dividend increase also, and that's reflecting of the strong performance we had on our cash flow and our earnings.
Operator: The next question comes from Thibault Leneeuw from KBC Securities.
Thibault Leneeuw: The results. First question is with respect to EMEA and the compounding services. You reported 1.9% organic growth at CER. You talked about volume growth in sterile and non-sterile business. So does that mean that there was some pricing pressure? That's the first question.
Rafael Padilla: Yes. Thanks, Thibault. And what we have explained, if you recall years ago that -- how normally -- and it's, of course, that situation, the Netherlands is accounting for more than 90% of this performance. So how does it work? There is a product portfolio in compounding. We have the product portfolio, the biggest one in the whole industry after so many years, of course. And some of the bigger compounds are getting registered, so then we cannot sell. This we explained, if you remember in 2021 at that year. And then this means also that we introduced new compounds, and we also registered some of them. So it's a dynamic portfolio. So all in all, you see that the almost 2% demand comes from this dynamic portfolio, some products coming in, some products coming out. And also, as we explained, I believe it was last year also, there was one question regarding this topic is that prices in this market are somehow flattish. So therefore, you see that all the growth that you see from compounding services in this region comes from volume.
Thibault Leneeuw: Very clear. And maybe as a small follow-up, maybe it has been explained in the past, but would be gentle to remind me is for North America, the Compounding Services there, when you look at the growth outlook, has there some price increases been included in the long-term outlook of like the low to mid-double-digit revenue growth? Is there some price increases included in that? Or do you basically assume stable prices in that outlook?
Karin de Jong: Yes. So we -- historically, where growth in the U.S. and maybe in Compounding Services is driven by volume. So we are capturing market share, and that was historically the case. Currently, we see that it's more volume than price, but price is a very small part of that growth level, and that's also embedded in our growth numbers going forward.
Operator: The next question comes from Usama Tariq from ABN AMRO ODDO BHF.
Usama Tariq: Congratulations on the strong results. I have just 2 questions initially. The first being, could you clarify on the cash outflow expected, especially with regards to M&A in 2026. So you've already indicated the CapEx. Does that include it, but that's I think that is only with regards to the expansion CapEx. So any pointer on the amount of cash you expect with regards to M&A next year? And secondly, do you see any impact with regards to the Trump health care plan? I do understand that Fagron is outside the insurance policy-based mechanism, so 80%, 90% cash settled. Do you still see some positive or negative impact in the short to medium term because of policy changes?
Karin de Jong: Starting with your first question, indeed, the answer that I gave on the previous question was related to the expansion CapEx. So if we now break it down with regards to the acquisition, so at the end of 2025, there's EUR 14 million at the balance sheet to be paid. And on top of that, as you know, we announced a number of deals in 2026, which also resulted in a cash out. And the cash out in 2026 is around EUR 80 million for those 3 acquisitions. So there are 3 additional acquisitions pending closing. That's for Vepakum, Amber and Injeplast, and that's roughly around EUR 70 million. So if we combine those amounts, then it's the EUR 150 million and the EUR 14 million that was still open. So that's EUR 164 million that has to be paid. And if we annualize the EBITDA of the acquisitions and look at pro forma net debt to EBITDA, including those, we would still be between the 2 to 2.5x net debt to EBITDA. So within our sweet spot and below our internal max of 2.8x. So we have sufficient room there, but also on the liquidity side, as you know, we have a new facility at the end of 2025, the U.S. notes for USD 125 million. So on the liquidity side, we're also good to continue our M&A strategy.
Rafael Padilla: And for the second one, Usama, you are totally right. So there is no action on the policy because our business is out of pocket. So totally right.
Operator: The next question comes from Frank Claassen from Degroof Petercam.
Ignacio Artola: Okay. We'll try to add Frank. Let's continue with the Q&A.
Operator: The next question comes from Eric Wilmer from Kempen Research.
Eric Wilmer: I wanted to press a bit on the profitability guide, which indeed screens a bit confident perhaps. I believe your largest 2 acquisitions last year, which should add 5% of sales had a margin profile below the group, which you will now need to implement. And I hear what you say with regards to the H1 profitability commentary this year. But at the same time, I always had the impression that your Dutch compounding business is margin accretive which I believe saw a bit of a tougher Q4. So are you actually anticipating a change regarding the latter? And do you also see further room with regards to further operational efficiencies? Maybe some color on the latter as well to help understand the qualitative margin bridge from '25 to '26.
Karin de Jong: Maybe indeed to start. So the acquisitions overall have a modest dilutive impact. We added the Brazilian Vepakum because we have CADE approval, so competition clearance for that acquisition. So that's added. That acquisition is above group average EBITDA levels. So that compensates partly for the dilutive impact for Purifarma. And then overall, the acquisitions, some are below, others are above. So in general, if you sum it all up, it's below group average. However, we do anticipate synergies coming in as of H2 on the back of the plans that we're having. So that's one on the acquisitions. If we look organically, we do expect to see benefits from the strategy that we initiated on operational excellence initiatives. So we already see that translated into procurement savings, so better gross margins. We see operational leverage coming through, especially in the U.S. where we continue our growth path. So on the back of that, we also expect the business, excluding acquisitions to make good progress in 2026.
Ignacio Artola: Well, let's end the session. Thank you very much for your participation today. I will remain at your disposal should you have any further questions. Thank you very much, and goodbye.
Rafael Padilla: Thank you.
Karin de Jong: Thank you.
Rafael Padilla: Bye-bye.